Operator: Good day, ladies and gentlemen and welcome to the Fourth Quarter 2017 Fulgent Genetics Earnings Conference Call. [Operator Instructions] As a reminder, this call is being recorded. I'd now like to introduce your host for today’s conference Ms. Nicole Borsje, Investor Relations. You may begin.
Nicole Borsje: Great. Thanks. Good afternoon and welcome to the Fulgent Genetics fourth quarter 2017 financial results conference call. On the call today is Ming Hsieh, Chief Executive Officer and Paul Kim, Chief Financial Officer. The company's press release discussing its financial results is available in the Investor Relations section of the company's website, fulgentgenetics.com. An audio replay of this call will be available shortly after the call concludes. Please visit the Investor Relations section of the company's website to access the audio replay. Management's prepared remarks and answers to your questions on today's call will contain forward-looking statements. These forward-looking statements represent management's estimates based on current views and assumptions, which may prove to be incorrect. As a result, matters discussed in any forward-looking statements are subject to risks, uncertainties and changes in circumstances that may cause actual results to differ from those described in the forward-looking statements. The company assumes no obligation to update any of the forward-looking statements it may make today to reflect actual results or changes in expectations. Listeners should not rely on any forward-looking statements as predictions of future events and should listen to management's remarks today with the understanding that actual events, including the company's actual future results, may be materially different in what is described in or implied by these forward-looking statements. Please review the more detailed discussions related to these forward-looking statements, including the discussions of some of the risk factors that may cause results to differ from those described in these forward-looking statements contained in the company's filings with the Securities and Exchange Commission, including the previously filed 10-Q for the third quarter of 2017 which is available on the company's Investor Relations website. Management's prepared remarks, including discussions of earnings and earnings per share contain financial measurements not prepared in accordance with the accounting principles generally accepted in the United States or GAAP. Management has presented these non-GAAP financial measurements because they believe they may be useful to investors for various reasons, but they should not be viewed as a substitute for or superior to the company's financial results prepared in accordance with GAAP. Please see the company's press release discussing its financial results for the fourth quarter of 2017 for more information, including the description of how the company calculates non-GAAP earnings and earnings per share and a reconciliation of these financial measures to loss and loss per share, as the most directly comparable GAAP financial measures. With that, I would like to turn the call over to Ming.
Ming Hsieh: Thank you, Nicole. Good afternoon. And thank you for joining us on our call today to discuss our fourth quarter 2017 results. I will discuss some of the business updates in the quarter including updates on our ongoing initiatives and then Paul will go through our financial results in detail. Let me first provide a brief overview of our financial results in the fourth quarter. Revenue totaled $4.3 million compared to $5.9 million in the fourth quarter last year. Test in the quarter grew 9% year-over-year to 4,213. Our ASP was $1,016 down 8% from $1,106 in the third quarter. GAAP loss was $1.8 million and the non-GAAP loss was $1 million. Non-GAAP loss per share was $0.06 in the fourth quarter and the cash flow used in operation was $1.2 million. While revenue in the fourth quarter came in slightly below our expectations, we are pleased with the growth we have seen in our ascensions. Looking at ascensions, we saw increase in approximately 30% compared to third quarter in 2017. A meaningful part of a test warning growth was driven by our newly introduced carrier screen test which seems strong initial interest from large prenatal market. Because these carrier screen tests are built through insurance, we were not able to recognize revenue on most of these orders that we received in the fourth quarter. Paul will get into more details on the timing of revenue recognition including a discussion on the impact of ASC 606 on our financials. Given this dynamics, the revenue we reported in the fourth quarter does not fully represent a strong growth in the test warning that we saw this quarter. Non-GAAP loss margins in the fourth quarter was also impact by the increase carrier test warning as also should cost are recognized as these tests are processed. We also continue to invest in [lab3] operations through hiring and the precision of equipments for anticipated volume in 2018 which impacts gross margin. Non-GAAP gross margin in the fourth quarter was 44% down from 53% in the previous quarter. Looking back at the year overall, we were encouraged some challenges with our sales force reorganization and transitional for businesses in China. We are optimistic about this progress we have made in the operational standpoint. We remain confident in our position for this year. We remained focus in four areas of developments as we look forward at the year ahead. First, leverage our technology advantage to expanding our test menu and the capabilities. We are pleased with the initial demands we haven’t seen from our carrier screening test and we are continuing to invest in area to expand our test menu. Specifically, we are close to launch our somatic-based cancer test which will combine the germline and the somatic test to provide an analysis and results from both tumor and a normal tissue. We expect the somatic test will help drive the test volume and the revenue in the second half of 2018. Second, we discussed last quarter how we have expanded our lab operations and we invest in equivalent to handle increased volume that we anticipate. We expanded our square footage and now have purely dedicated solely to lab operations. Further, we have continuous work with improving automation in the lab to streamline operations and increase efficiency. Third is sales execution, after going through the changes of our sales organization we are seeing stability and ongoing improvement in sales execution in the number of different areas. First, sequencing for service agreement, we are gaining traction to addressing the need of our customers with this agreement particularly from several large pharma companies. Second, we’re extending partnership with other companies for our carrier screening test. Third, we’ll remain in discussions with several Group purchasing organization and are getting closer to sign agreements. Fourth, we recently implement our international sales team and our seeing strong growth outside of U.S. Overall, we are pleased with increasing traction and stability we are seeing with our sales organization and are encouraged by the opportunity we see in the quarter ahead. As we continue to sign additional partnership, expand our test menu and broaden our sales reach, we expect to accelerate in the future. We recognized that it has taken us some time to build our - build out some of this initiative that we have discussed in previous quarters. We are making meaningful progress in a number of these areas and hoping to deliver a number of initiatives in the year ahead. We remain confident of our technology advantage and the capability of our sales team. We want to thank you our investors for their support. I would like to now turn over to Paul to provide details on our financial performance in the fourth quarter. He will provide details on our outlook in 2018. Paul?
Paul Kim: Thanks Ming. Fourth quarter revenue totaled $4.3 million a decrease of 27% compared to the fourth quarter of 2016. As Ming briefly discussed, we saw strong growth in ascensions in the fourth quarter but much of this was due to volume from our carrier screening test. We saw very little revenue from our carrier screening test in the fourth quarter as we cannot recognize revenue on these tests until we are reimbursed. However, under the new revenue pronouncement ASC 606 we will estimate the collectability of all tests going through insurance and we will record these revenues on an accrual method starting January 1. This will allow us to recognize revenue on carrier test before we collect from insurance. Looking at the fourth quarter, if we had accounted for revenue under the new ASC 606 standard, we estimate that we would have recognized an incremental hundreds of thousands of additional dollars in revenue during the quarter. The accounting change would have also benefited our gross margin as cost of these tests were already included in our Q4 cost of sales. Our insurance billings were minimal prior to the fourth of 2017 and as a result there is a material change to our financial under ASC 606 versus 605 for the first three quarters of 2017. We are required to monitor our collections regularly under the new revenue pronouncement and will be making adjustments as necessary. Also in the fourth quarter revenue from Asia continue to decline as these samples are going through our JV in China. Revenue from Asia represented less than 1% of our total revenue in the fourth quarter. This compares to 36% in the fourth quarter of 2016 and 12% last quarter. Excluding revenue from Asia, our business in the U.S. and Europe remained stable and strong and grew more than 12% in Q4 compared to the third quarter. Tests which were recorded in revenues were 4,213 in the fourth quarter an increase of 9% over Q4 of last year and an increase of 3% from Q3. Our ASP was $1,016 down from $1,106 in the third quarter. Our ASPs declined in the quarter as a result of product mix in particular more sequencing for service test which carry a lower ASP in our clinical genetic test. Our cost per test in the quarter was $604 on a GAAP basis and $571 excluding equity-based compensation of 138,000. Average cost per test increased due to the dynamics around processing of our carrier screening test and advanced revenue recognition. As a reminder, the cost per test include all costs of tests that were processed in the quarter in the lab regardless of timing of revenue recognition. As a result of increased COGS, our non-GAAP gross margin came down to 44% in the fourth quarter. Our gross margin will continue to fluctuate as our test mix varies and our volumes scale. Over time we still expect to see lower average cost per test as we ramp up our volumes, collect on insurance claims and continue to improve productivity and automation in the lab. We believe our differentiated technology and operating efficiencies will give us an advantage with margins long-term despite pricing declines we may see in our business or in the industry overall. Turning to operating expenses, we remain focused on balancing our investments for growth while managing expenses. On sales and marketing side, our expenses were $1.1 million in the quarter down from $1.4 million last quarter. This decrease was a result of timing of marketing initiatives. We made investments in personnel and capabilities in this area throughout 2017 and believe investments is made in sales and marketing will help drive growth in the future. On research and development, we continue to invest in our technology platform in expanding our test menu. R&D expense in Q4 was $1.3 million up from $1.1 million last quarter. Lastly G&A expenses were $1.3 million, non-GAAP operating expenses totaled $3.3 million for the quarter. Adjusted EBITDA for the fourth quarter was a loss of 952,000 compared to a loss of 450,000 in the third quarter and $2.3 million in Q4 of last year. On a non-GAAP basis and excluding equity-based compensation expense, non-GAAP loss for the quarter was $1 million or $0.06 per share based on $17.8 million common shares outstanding. The GAAP and non-GAAP tax rate at the end of the fourth quarter was 18%. For the full year 2017 total revenue grew 2.5% to $18.7 million. Adjusted EBITDA was 471,000 compared to $6.8 million in 2016 and non-GAAP loss was 459,000 compared to an income of $4.5 million last year. Turning to the balance sheet, we remain well-capitalized to support our growth and we're comfortable with our test position. We ended our fourth quarter with $40.4 million in cash, cash equivalents and marketable securities with no debt. This equates to $2.32 of cash and cash equivalents per share. Now moving on to our outlook, as Ming mentioned we faced some unforeseen challenges this year which resulted in growth below our initial expectations. That being said we're confident in the investments we have made and are pleased with the initial traction, stability, and sustainability we’re seeing in the business. We saw a number of ongoing opportunities we are working for the year ahead of which we have mixed levels of visibility. As such we’re tempering our expectations for growth in the year ahead and anticipate our revenue for the full year of 2018 to be at least 20 million. This minimum revenue estimate assumes very nominal growth in our domestic and international institutional hospital business. It tempers the growth in carrier, cancer, both germline and somatic and bio pharma sequencing for service. Based on our results in 2017 which came in below expectations, we believe this is the best approach in setting our initial guidance for 2018. On gross margins, we anticipate an uptick in the first half of 2018 and we expect to see slight improvement as we get deeper into 2018 from that uptick. On operating expenses, we anticipate approximately a 10% increase from 2017 as we continue to hire employees in sales, operations and research and development. This translates into nominal losses in the first half of 2018 moving towards breakeven as we finish out the year. Overall we remain focused on continuing to invest in our technology and executing on the sales opportunities at hand. With our capabilities and technology we believe we can capitalize on many opportunities that will drive growth going forward. Thank you again for joining our call. Operator you can open it up for questions.
Operator: [Operator instructions] Our first question comes from Bill Quirk with Piper Jaffray. Your line is now open.
Bill Quirk: So I guess first question guys is on volumes. In the third quarter call you made a comment that volumes were up 35% to the first five weeks and if I'm doing the math correctly on a sequential basis that actually implies your volume is down 4Q over 3Q outside of that first five weeks assuming that volumes are relatively ratable over the quarter. Where am I going wrong in the math here?
Paul Kim: So you are correct with your initial statement volume was up but ascensions were up approximately 30% in the fourth quarter. However, the growth in the ascensions was largely based on the launch of our carrier screening test Bill. And as you remember, our revenue recognition for test that go through insurance we're not able to record revenue on until we actually collect the cash. Henceforth the increase in volumes that we had in the fourth quarter we were not able to record revenues on.
Bill Quirk: So we should be - just side of the math correct here Paul, so we should assume that there's about a 30% increase off the little over 4,000 tests in third quarter, but only 4,213 of those were delivered is that the right way to think about this?
Paul Kim: 4,213, yes 4,213 were delivered and if it went through insurance the small amount included in the 4,213 was the cash that we collected from the increase that we had in the insurance billings.
Bill Quirk: So said in another way within the 4,213 you're not including the carrier screen test we had no collectability?
Paul Kim: We had a very small amount of carrier screening test as part of that 4,213. And that’s actually a very good question because it also relates to gross margin. Another way to put at it, is to say the reasons why gross margins were so low in the fourth quarter was because our lab processed almost 6,000 tests.
Bill Quirk: Okay, got it all right that...
Paul Kim: Because we have to record the cost of sales regardless of timing of revenue recognition.
Bill Quirk: But just so that I guess I’m clear Paul, so the lab process almost 6,000 tests in the quarter. You delivered results where there was some sort of revenue associated with 4,213?
Paul Kim: That’s correct.
Bill Quirk: And then just thinking about your guidance of at least 20 million juxtaposed with your comment about you had ASC 606 and in fact you would have I think the comment was several hundred dollars higher in revenue. So that would have put your revenue at something closer to about $4.5 million which annualizing gets you to at least 18. So I guess reading into that we should assume that you’re not expecting to have much traction with private payers in 2018?
Paul Kim: The other way to look at it is to say that 2017 hasn’t been a very fun year for Ming and myself because we don't like missing and we want to make sure that we have guidance in 2018, initial guidance anyway that we feel very comfortable with.
Operator: Our next question comes from Erin Wright with Credit Suisse. Your line is now open.
Unidentified Analyst: Hi this is actually Hong on for Erin today. Thanks for taking our question. Regarding sort of the outlook that you guys just laid out. I know you mentioned that you wanted even better fair amount of conservatism in sales outlook because of sort of mixed levels of visibility. I was hoping that you could sort of expand on what you meant by and sort of the underlying dynamic on sort of that comment?
Paul Kim: So, I'll take the first part of that question and then I’ll have Ming weigh in. We mentioned to Bill the increased volume that we've had and Bill brought up a good point if this were normalized under the new revenue pronouncement, what was the Q4 revenues been and that amount actually is going to be disclosed in our 10-K when we filed out here in the coming weeks but Q4 under the new revenue standard that taken into account the increased volume that we’ve had would have been higher the topline results and gross margins as well from what we had in the third quarter. And looking at the outlook for 2018, we want to have an initial guidance that is an amount that both Ming and I, we feel very comfortable with. So if you take into account the base business that we had in the fourth quarter and if you translate that out and essentially saying that it’s going to be flat in 2018 that in itself alone gets us pretty close to the $20 million we might be up like about a $1 million or $2 million. And then the additional initiatives that we have whether it would be the launch of our somatic test which is going to happen in 2018 and Ming can talk about where that sits, or the initiatives that we have on the GPO under reimbursement side is largely not incorporated into our initial guidance. We certainly anticipate better positioning within the hospital market will be intact and we’re doing things that we can grow that business. In addition to that, expanding our test venue and the continued traction that we get on the Beacon carrier side, certainly looks very, very promising but I’ll let Ming weigh in on the things that we essentially don’t have in the guidance which is the anticipated growth that we see in the reimbursement on the GPO side, as well as where we sit with our somatic test.
Ming Hsieh: Yes, to adding to the Paul's point, we need to make sure that what do we forecasted only what we can comfortable to deliver. We also have many opportunities we’re working on such as with the GPO side and we do see the initial premise the test starting from the GPO side but how do we collect the money, how do we recognize the revenue that not include in this forecast as well as the - to be released somatic test. We do expect the test we are providing will be generated attraction in the market but hopefully in the second half of the year, when the test would be launched and we will see the opportunities to adding some growth in that area.
Operator: [Operator Instructions] Our next question comes from Andrew Cooper with Raymond James. Your line is now open.
Andrew Cooper: Just wanted to get a quick one in on kind of the Asia JV, I know back when it was initially announced it was kind of thought of as positive and exciting opportunity and we look at it now and become smaller percent of a smaller revenue number, so just kind of curious if you could give us some color on what maybe has changed there relative to expectations when you first went down that path, that will be really helpful. Thanks.
Ming Hsieh: Andrew, thank you for the questions. As we talk about our investment and the JV in China, it come under several different areas. One area is we are trying to build our capabilities in China and the revenue from the China side will be the royalty payment from the China side. So we do expect some royalty payment second half of this year from the JV. In addition, when we built the China operations it does also in response we have the several enquiries from the pharmaceutical companies to see our capabilities not only conduct some service providing in the outside of China but also inside China and that is part of the new response to our response to some of the RFP inquiries and that’s why we set up operation both inside China and outside China. We do hope to see that will become somewhat materialized in 2018 which we are not included any of our guidance.
Operator: Our next question comes from Yi Chen with H.C. Wainwright. Your line is now open.
Yi Chen: Could you tell us, what percentage of your revenue currently are sourced from China and do you expect that percentage of total revenue to grow in the future and also in China, which geographic area do you think will drive the most revenue grows in the next two years.
Paul Kim: Yi, I couldn't hear the first part of your question. Your question was, what part of our revenue currently comes from which area?
Yi Chen: China.
Paul Kim: From China, okay.
Yi Chen: Yes.
Paul Kim: So China historically was a larger portion of our revenues. China revenues just to give you a little color in the second and the third quarter of 2017 was approximately 10% to 12% of our revenues. In the fourth quarter revenues straight from China is less than 1%.
Yi Chen: And do you expect the revenue from China to grow in the future?
Ming Hsieh: Yes, Yi as we mentioned we set up the lab and which lab has being certified and credited in China. We expect through the revenue we'll start in the second half of this year and remember those revenue will collect percentage of royalty from those revenues. In terms operation our lab reset up in the Fujian province, Fujo but our sales and headquarter office will be in Shanghai.
Yi Chen: So outside Asia, do you think the U.S. is the main area that will continuously drive to revenue growth going forward?
Ming Hsieh: The currently - in terms of the revenue last year 60% from U.S., 40% overseas.
Yi Chen: So you do think that Asia is the main revenue driver going forward?
Paul Kim: No, little bit of historic. So if you take a look at our revenues, your first part of the question for China, it was a larger portion of our revenues in the fourth quarter, it was about 1%. If you take a look at our business overall for 2017 a little over half that's coming straight from the U.S. and rest from outside the U.S. including China. If you take a look at the fourth quarter, the amount of revenues from U.S. was approximately 60%, 40% from outside the U.S. and that's because, China’s revenues has dropped off. In terms of our guidance for 2018, now based on the assumptions that we made because we're not counting a whole lot into the guidance, from revenues from China all other prospects and Ming certainly put color around that. If you take a look at the base level of our business, we are anticipating within the guidance about 60% or so of the $20 million coming from the United States but should the somatic test or the traction with the GPOs should gain traction, so we end up 2018 better than what we initially guided. The somatic tests and the traction that we're getting under reimbursement side should also largely be in the U.S., so another way to put it is to say that we believe that our revenues wherever we end up our 2018 will be at least 60% in the United States.
Operator: At this time, I'm showing no further questions. Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program and you may now disconnect. Everyone have a great day.